Operator: Good day, and welcome to the Barnes & Noble Education Fourth Quarter Earnings 2018 Conference Call. Today's conference is being recorded. At this time, I would now like to turn the call over to Mr. Thomas Donohue. Please go ahead, sir.
Thomas Donohue: Thank you. Good afternoon, and welcome to our fourth quarter and full fiscal year 2018 earnings call. Joining us today are Mike Huseby, Chairman and CEO; Patrick Maloney, President of Barnes & Noble College; Barry Brover, CFO; and Kanuj Malhotra, President of Digital Student Solutions; as well as other members of our senior management team. Before we begin, I would remind you that the statements we will make on today's call are covered by our Safe Harbor disclaimer contained in our press release and public documents. The contents of this call are the property of Barnes & Noble Education and are not for rebroadcast or use by any other party without prior written consent of Barnes & Noble Education. During this call, we will be making forward-looking statements with predictions, projections and other statements about future events. These statements are based upon current expectations and assumptions that are subject to risks and uncertainties, including those contained in our press release and public filings with the Securities and Exchange Commission. The Company disclaims any obligation to update any forward-looking statements that may be made or discussed during this call. At this time, I'll turn the call over to Mike Huseby.
Mike Huseby: Thanks, Tom. Good afternoon, everyone, and thank you for joining us. Fiscal 2018 was truly a transformative year for Barnes & Noble Education. Thanks to the agility and dedication of our talented people, we delivered solid results against the backdrop of significant change. Higher education is both evolving and highly fragmented industry. We continue to act decisively and strategically to ensure that we're offering the content, products and services this changing market is demanding. Barnes & Noble Education has always been and continues to be a company serving all who work to elevate their lives through education. We've done this for many years through our book stores which provides students and faculty across hundreds of unique campuses nationwide with the support and tools they need for success. Our position as a campus hub together with our longstanding institutional relationships have provided us with incredible expertise in the service business. We have unparalleled understanding of the student, from how they like to study to how long they engage their course materials to the additional help they seek to supplement their learning. This understanding of student habits and needs informed our acquisition of Student Brands in the second quarter of fiscal 2018 which has enabled us to serve students directly with it's leading subscription based writing services business. Students frequently arrive on campus lacking basic writing skills. Our Student Brands offering helps to fill that learning gap. Our acquisition of Student Brands was an important step in establishing the foundation for continued innovation and the development of scalable digital solutions from students. This leads me to our new reporting segment, Digital Student Solutions, or DSS. As noted in our press release, we will now be reporting in three segments; BNC, MBS and DSS along with a corporate services category. Our intention is to provide additional transparency of our business and a better view of our assets and their place in higher educations. It's important to understand that digital products and services already permeate each of our segments. Our e-commerce platforms, analytics, e-textbooks, and publisher hosted content, degree planning and LoudCloud courseware among others, all contain digital elements. The important distinction between BNC and MBS segments as compared to the DSS segment is the customer. Both BNC and MBS serve institutional market partners while DSS serves the direct-to-student market. DSS offers products and services that help student study more effectively resulting in improved academic performance and mastery of the skills needed to succeed in the classroom and in their careers. DSS is currently comprised of the operations of Student Brands, as well as tutoring and test-prep services offered through our partnership with the Princeton Review. We continue to aggressively expand our ecosystem of products and services both through our own internal development, as well as through strategic partnerships to provide a complete hub of products and services designed to improve student success and outcomes. During fiscal 2019, we plan to significantly invest in our DSS student success platform and related proprietary content. This investment which began in earnest in Q4 will be reflected in our fiscal 2019 guidance which Barry will outline in a few minutes. Our plan is to aggressively grow the DSS business through internal development of new products and services, acquisitions of company's products and services, and partnerships with other leading service providers like the Princeton Review. Unlike other providers of digital services to students, our trusted university relationships and presence on campus provides us with a significant competitive advantage as we rollout new products and services on the campuses we serve. Integration with offerings from our other business segments will allow us to provide students with new products and services more cost effectively in increasingly relevant and targeted way. Our DSS business is consistent with our commitment to serving all students, whether inside or outside our footprint of managed stores, whether inside of The United States or internationally, with high quality digital services informed by our expertise in understanding what, where and how students want to learn. The separation of this segment will also provide investors with the ability to more clearly track the growth and progress we expect from this segment going forward. By setting out DSS separately, we are demonstrating our commitment to transparency, and to significantly grow direct-to-student digital offerings with a sense of urgency. We're actively transforming our business to deliver long-term growth and value creation. We remain well positioned to capture new market share by creating and delivering what our customers are demanding; affordable and high quality educational products, content and services that will drive improved student and partner outcomes. While the higher education market continues to evolve rapidly, we did experience certain trends in the fourth quarter similar to those that we experienced last year. Our fiscal fourth quarter is a seasonally low sales period for MBS as it starts to build in for inventory for the fall rush; and our performance reflects that seasonality. For BNC, the quarter was dominated by the remainder of spring rush and the sale of course content, as well as the strong sales of general merchandising products, specifically emblematic apparel and gifts and graduation products. For DSS, the fourth quarter was about driving student success and outcomes with our writing products. Within our BNC segment, we continue to enhance and promote First Day, our inclusive access program. Inclusive access programs effectively address the needs of students, the institutions and the publishers offering course materials at reduced prices through our course material fee for participating programs. After piloting our proprietary First Day system this past spring, we expect to have our First Day offering on more than 100 campuses this fall. As we head to all inclusive models, we expect they should have much higher sell-through for us. We will leverage that increased penetration across our various offerings. BNC also gained significant momentum in LoudCloud courseware adoptions with a broad spectrum of institutional clients. To provide context around the importance of our courseware offering, I'd like to highlight one of our very successful courseware implementations. We began working with Eastern & Gateway Community College last year. We provide them with a host of services including book store operations, learning management system and courseware. The courseware is the basis of the curriculum for free, to their associate's degrees offered by EGCC to union members in the area. Today, our courseware serves thousands of union members learning at EGCC and has even become a popular option for full-time students at the college. We're very proud of and excited by our work at Eastern Gateway. We believe other such opportunities to deliver scaled courseware solutions exists and we are actively pursuing them. In addition to our school branded e-commerce sites and mobile apps, we also operate 87 dedicated athletic and alumni sites called True Spirit sites. This year we had a particularly exciting True Spirit win with the University of Washington where we were chosen to operate their entire athletic e-commerce business with our True Spirit site, as well as concession sales at all of their athletic venues, and two, year round physical fan shops. This is the first time we won a True Spirit e-commerce account at a school where we do not currently have a physical bookstore contract. Demonstrating the significant opportunity True Spirit represents as we leverage the retail experience of our BNC team, both in and outside the current footprint. Turning now to our MBS segment; when we acquired MBS over a year ago, our stated intention was to stabilize the business and utilize MBS's advanced distribution platform. Now over a year later, we've achieved that objective with MBS contributing nearly $460 million in sales and $55 million in adjusted EBITDA for the full year. We continue to recognize inventory optimization strategies by transferring under-utilized inventory from BNC to MBS to sell to it's school partners. We are also benefiting by offering our current and prospective BNC clients, our virtual book store solutions called MBS Direct. As previously announced, MBS will play an important role as a key distributor of McGraw-Hill Education and now, Pearson's rental programs. We look forward to driving the success of these programs through our large footprint and expertise in rental programs, with MBS in particular, bringing the many benefits of their centralized advanced distribution center. Other publishers have announced, tested and began to implement similar rental programs and we believe we are uniquely positioned to leverage our capabilities and experience to help make all of their rental programs successful also. Turning to our DSS segment; DSS contributed $5.7 million in sales in the fourth quarter and $15.8 million in sales for the full fiscal year. As important is the high conversion rate of these sales with adjusted EBITDA of $2.5 million in the quarter and $7.6 million for the full fiscal year. Again, we owned Student Brands for approximately only nine months in fiscal year 2018. Student Brands, the main component of DSS results for this fiscal year serves approximately 100,000 subscribers in more than 15 different countries and receives more than $20 million unique monthly visitors to it's sites. We're confident that the high quality products of the services that DSS provides directly to students will help them achieve the best outcomes in their academic careers. As we head into our new fiscal year, we're focused on executing our strategy for change to drive results and build long-term value. We continue to strengthen our central position in aggregating and distributing both physical and digital educational content while we also developed and rollout exciting new services and solutions that will gain increased visibility in our upcoming fiscal year 2019. Before I close, we are pleased to announce the appointment of Ms. Emily C. Chiu to our Board of Directors. Our Board now has seven directors, six of whom are independent. Emily currently serves as the Principal Corporate Development Officer at Square, and brings more than a decade of executive management leadership experience with significant technology and education expertise. We're excited and honored to have Emily on the BNED Board and look forward to benefiting from her fresh insights and contributions, particularly in digital transformation as we continue to build and expand our offerings. I'll now turn it over to Barry for the financial review.
Barry Brover: Thank you, Mike. Please note that the fourth quarter ended on April 28, 2018, and consisted of 13 weeks. All comparisons will be to the fourth quarter of fiscal 2017, unless otherwise noted. As disclosed in our press release, effective with the fourth quarter, we have commenced reporting for three segments; BNC, MBS and DSS. In addition, unallocated shared service costs will be reported in corporate services which includes corporate level expenses and other governance and executive functions including areas such as accounting, treasury and legal. We have provided historical quarterly data for each segment for fiscal year '18 and fiscal year '17. Total sales for the quarter were $357.7 million, compared with $342.8 million from the prior period. This increase of $14.8 million or 4.3% was primarily driven by revenue of $11.8 million from the MBS segment, and $5.7 million from the DSS segment, partially offset by a $6.1 million decrease at the BNC segment. Sales for the full fiscal year were $2.2 billion, compared with $1.9 billion in the prior year. This increase of $329.3 million or 17.6% was primarily driven by the sales increase of $425.4 million at MBS, $15.8 million at DSS, partially offset by declining sales at BNC of $29.5 million and an increase in the intercompany eliminations of $82.4 million reflecting the full year activity between BNC and MBS. The comparable store sales at BNC increased by 0.1% in the quarter compared to a decrease of 0.2% in the prior year period. Comparable store sales for the full year decreased 4.1% compared with a decrease of 3.5% in the prior year. Textbook sales for the fiscal year decreased by 5.9% compared to a prior year decrease of 4.9%. The continued decline in community college enrollments along with the lower average selling prices of course materials driven by lower publisher prices resulting from a shift to lower cost and more affordable solutions including digital exceeded the improvements made in textbook unit sales trends. Approximately 40% of our comparable textbook sales decline relates to lower average textbook prices which in addition to expanded customization options affected the mix of course materials sold and rented in the fiscal year. General merchandise sales for the fiscal year increased by 0.2% compared with a 0.1% decrease in the prior year as strong emblematic clothing and gifts and graduation product sales, specifically in the fourth quarter exceeded the declines in school supplies, computer and convenience product sales. Sales for MBS in the fourth quarter, a seasonally low sales period for the segment were $46 million compared with $34.1 million in the prior year period. The increase of $11.8 million reflects a full consolidated quarter of MBS as compared with the prior year as it was acquired on February 27, 2017. Sales for MBS for the full fiscal year were $459.5 million, and in line with our expectations. In our new segment DSS; sales were $5.7 million in the fourth quarter and $15.8 million for the full year. These amounts reflect the activity at Student Brands which was acquired on August 2, 2017. Our rental income for the quarter was $71 million, a decrease of $5.1 million or 7.1% and was $219.1 million, a decrease of $13.3 million or 5.7% for the fiscal year. The rental revenue is impacted by the increase in digital products and the lower prices of course materials. Gross margins increased by 4.3% to $128.3 million or were 35.9% of sales in the quarter consistent with the prior year period. The gross margin for the fiscal year was 25.3% of sales compared with 24.5% of sales in the prior year. The overall margin rate for the full year increased as a result of the addition of Student Brands in the DSS segment which generates high margins. The margin at BNC for the full year was 24.3% or 40 basis points lower than the previous year. The decrease was attributable to lower margins on general merchandise and used textbooks which were impacted by publisher price decreases and lower sales of under-utilized inventory to third-parties compared with the prior year along with an unfavorable sales mix. The gross margin rated MBS was 12.3% in the fourth quarter compared with 13.9% in the prior period. The fourth quarter has a seasonally low sales and is impacted by the fixed cost of warehousing and operations. For the full fiscal year, MBS's gross margin was 22.8% excluding a $3.3 million inventory fair value adjustment. The gross margin rate for DSS was 97.5% for the fourth quarter and 97.7% for the full fiscal year reflecting the low cost of sales. Selling and administrative expenses in the fourth quarter increased by $8.7 million or 8.9% compared with the prior year period, and increased by $53 million or 13.9% for the full fiscal year. The fiscal year increase is primarily the result of expenses associated with MBS and Student Brands; the increases at BNC were primarily the result of increases in corporate payroll and infrastructure costs including Promoversity and LoudCloud. BNC increases related to net new stores were offset by decreases in comp store expenses. Corporate services decreased as a result of savings related to combining the Chairman and CEO position, lower stock compensation and bonus expenses. For the full year, DSS selling and administrative expenses of $7.8 million includes costs related to Student Brands, as well as ongoing costs associated with developing new DSS products and other digital offerings. As a result of the change in reporting segments, previous corporate allocations from BNC to MBS have been reversed and the expenses reclassified within the selling and administrative expenses at either BNC or corporate services. Interest expense was $10.3 million for the fiscal year compared with $3.5 million in the prior year. The increase is primarily the result of higher average borrowings due to the acquisitions of MBS and Student Brands. The fiscal fourth quarter net income was $17.1 million or $0.36 per diluted share compared with net income of $200,000 or $0.00 per diluted share in the prior year period. The full year net loss of $252.6 million or $5.40 per diluted share, compared with net income of $5.4 million or $0.11 per diluted share. The loss for the full fiscal year is due to the goodwill non-cash impairment charge recorded in the third fiscal quarter. Total adjusted EBITDA decreased by $3.4 million or 13% to $22.2 million for the quarter. During the quarter, BNC contributed $26.5 million of adjusted EBITDA, MBS had adjusted EBITDA of negative $6.5 million, DSS contributed $2.5 million of adjusted EBITDA, and as expected, the realization of the gross profit elimination from Q3 contributed $5.1 million of adjusted EBITDA. Corporate service costs were $5.3 million in the quarter. Adjusted EBITDA for the fiscal year was $126.8 million, an increase of $48.5 million or 62% reflecting the acquisitions of MBS and Student Brands along with the decreases in expenses related to corporate services, partially offset by decreases at BNC due to declines in comparable store sales, profit margins and increased overhead costs. The effective tax rate for the fourth quarter was negative 525% compared to 92% in the prior year period, and 7.5% for the full fiscal year compared with 46.9% in the prior year. The effective tax rate for the fiscal year is significantly lower as compared to the prior year due to the tax benefit of the U.S. Tax Reform Act. As a result of the Tax Reform Act reducing the federal corporate tax rate from 35% to 21%, our net deferred and long-term liability was reduced by $20.4 million which lowered the income tax expense in the third quarter. The Company's estimated tax rate for fiscal 2019 will be approximately 28%. Our cash balance at the end of the fiscal year was $16.1 million, and we had $196.4 million in outstanding borrowings with average debt of approximately $157 million. The lower cash and higher borrowings compared with last year are the result of the Student Brands acquisitions. In fiscal year '19, we expect the average debt to be approximately $135 million, repeat [ph] borrowings of approximately $270 million which will be fully repaid after the fall rush, and then with additional borrowings until the end of the fiscal year, a similar pattern to fiscal year 2018. At the end of the fiscal year, inventory increased by $12.1 million compared to last year. Inventory at MBS increased due to BNC transferring to MBS of under-utilized textbook inventory and higher inventory to support the direct business in advance of the selling season. These increases were partially offset by lower inventory levels at BNC. Transferring under-utilized inventory from BNC to MBS the sale improves overall profitability for BNED and was one of the synergies of the acquisition. CapEx for the fourth quarter was $12.7 million compared with $8.2 million in the prior year, and $42.8 million for the fiscal year compared with $34.7 million in the prior year. The increase from the prior year is the result of the inclusion of MBS for the full year, higher spend to BNC associated with stores that were -- with new stores signed in fiscal 2017 and investments in digital content within DSS. Currently, our BNC store count is 768 having opened 3 new stores and closed 17 in the quarter. Because of full fiscal year BNC opened 33 new stores with estimated annual sales of $66 million while closing 34 stores with annual sales of $47 million. As of today, we have signed contracts to open 21 new stores in fiscal year 2019 with $55 million in estimated annual sales while we have known closings of 25 stores with annual sales of $35 million. Included in the closings are stores that will be moving to an MBS direct virtual store. We are currently experiencing a tough competitive market for contract renewals. We have analyzed our losses and refreshed our positioning, strengthening our focus on course material affordability including First Day and LoudCloud courseware. We remain disciplined in our approach and evaluation of contracts and changing market conditions. Our MBS Direct store count is 676 having signed 2 while closing 24 during the quarter. For fiscal 2018, MBS signed 21 new contracts for estimated annual sales of $6 million, and closed 57 contracts, many of which were low volume accounts with total annual sales of $10 million. For the fiscal year '19, as of today, MBS's contracts to add 25 new stores with estimated annual sales of $9 million with no known closings. Of these new MBS contracts, 5 are from institutions that previously were operated by BNC and will now become either hybrid relationships where BNC will operate a general merchandise store and MBS Direct will sell the course materials, or a full transition to a complete MBS Direct store. This is another synergy related to the acquisition. Turning to our fiscal 2019 outlook; for fiscal year 2019 the Company expects consolidated sales to be in a range of $2.2 billion to $2.3 billion before inter-company eliminations. This sales guidance reflects the expected comparable store decline at BNC to be in the mid-single digit percentage point range year-over-year. The Company expects consolidated fiscal 2019 adjusted EBITDA to be relatively comparable to fiscal year 2018 and in the range of $110 million to $125 million reflecting the expected comparable store sales decline at BNC and increase in costs associated with developing new DSS and other digital offerings. Capital expenditures are expected to be approximately $60 million, increasing over fiscal year 2018, primarily due to our anticipated investments in digital content required to offer new planned DSS product offerings. With that, we will open the call for questions. Operator, please provide the instructions to those interested in asking a question.
Operator: [Operator Instructions] Our first question will come from Alex Fuhrman with Craig-Hallum Capital Group.
Alex Fuhrman: Couple of things I wanted to ask about here; one is, just given that -- I know that the fourth quarter for you is a seasonally small quarter, typically after the big textbook selling months in January, and it certainly sounds like you're telling us last quarter that we should expect a little bit of -- kind of extra sales bleeding and you referred to the fourth quarter. So certainly not suggesting that we should extrapolate the comp store sales trend from the fourth quarter into next year but I'm just a little curious to the expectation of a mid-single digit comp store sales decline for next year because given that it's currently summer vacation, so I would imagine you have probably very little indication to what the actual fall rush for you is going to look like. And it sounds like general merchandise has been doing pretty well, or at least did pretty well in the fourth quarter. So just trying to get a sense of where that expectation is coming from? Is it trying to just be a little bit conservative? Is there some type of expectation that enrollments are going to be under more pressure next year than what you've seen in the past; so just love to unpack your thinking around the comp store sales guidance a little more?
Barry Brover: At this point of the year, as we look into the schools and the upcoming semester, we expect enrollment patterns from what we see to be similar to what we experienced in fiscal year '18. We are excited about our general merchandise sales trends, we had a great fourth quarter with GM sales increasing roughly 3.6% with strong emblematic clothing, gift and graduation product sales. We're excited about the opportunities and the trends as we look ahead to fiscal year '19, really driving the sales both in-store and on the web. In addition, with our First Day and inclusive access programs and the way we're working with our schools, we're excited about the opportunities to really improve the textbook sales trends that we've experienced over the last couple of years.
Mike Huseby: Last year in the fall was the first year we saw -- however, sales prices from publishers declined which at that time was not expected, at least not to the extent that they did because of the sales mix. While we're starting to get visibility into the adoptions for fall, we don't have the visibility really into their pricing strategy and how that's going to pan out, Alex. And I'm not saying that to imply that we're being conservative, I think there is a lot of moving parts and despite some of these fourth quarter positive -- relatively positive signs and GM etcetera, we still have a long way to go before get through fall rush.
Alex Fuhrman: And then, I have a couple of questions on the new DSS segment, I think that's great that we're getting a little bit more granularity, particularly given now we can see how high the gross margins are in that segment. So couple of things that would be helpful for us to sort of frame up DSS as we think about the next couple of years. First and foremost, I'd be curious if you can give us an indication of how quickly that segment has been growing? Obviously, you didn't have it a year ago but if you look at their organic results, can you give us a sense of how quickly the Student Brands properties have been growing? And then, as we look at the different assets within Student Brands, are there one or two properties that are the most important? I'd be curious, as we look at each of those properties, if there is one or two that really standout that we should be focusing on that are the most important to the Company here?
Mike Huseby: Well, they are important, obviously. But I think that if you look at the traffic on the various websites, there are a few that standout; Bartle Bee [ph] being one of the key ones, it's really come on lately, 123 Help Me [ph] and then Study Mode [ph], those three -- in addition, Student Brands made an acquisition in Brazil in December, it's little early to tell; we're also excited about the international possibilities, so both English and Spanish speaking writing health and the way we've -- the way that management team is positioned, like -- the Company to be international in 15 countries. So I think more broadly, you're talking about the next couple of years, I just picked up on that in your comment -- that's -- we kind of look at the business given the level of change and one year out obviously, but really two years -- you can tell from our CapEx that as we said and we're planning to expand this segment aggressively, internally by the CapEx but I think our track record on acquisitions in the last year or so with MBS and Student Brands has been good and you can see what it's done for the -- not just the financial profile of the Company but also how these businesses are really working effectively together, not just BNC and MBS but the inventory optimization, both really starting to cook now with getting Student Brands, entire e-commerce platform, etcetera; and you will see a lot more on that as we go forward. We get more volume but we're looking at lot of things for the summer that we can test -- more test in soft role that we can do more aggressively, we'll have more volume in the fall and the spring.
Alex Fuhrman: Just similarly, following-up on that; the three quarters that you have in the press release here -- the second, third and fourth quarter of fiscal '18; it looks like the DSS segment was showing nice growth through those three quarters. Would it be reasonable that we should expect Q1 revenue for that segment to take a step down given that it's the summer months? I'm curious, how those properties have typically looked in terms of the seasonality throughout the year; is that something that we should expect to see?
Kanuj Malhotra: There is not as much of the exacerbated seasonality as in the textbook business but there is some seasonality to your point.
Alex Fuhrman: Just thinking about the assets that you're looking to add into that segment without trying to scoop the specifics of what you guys are working on; just trying to get a sense of -- are these things that -- the Company had been working on for some time, even prior to the Student Brands acquisition or was it after the Student Brands acquisition it appeared that there was an opportunity to add more to that? And part of what I'm asking is, it just seems for right now DSS looks like it's pretty close to about 1% of sales but I would imagine you probably weren't looking to strip that out into it's own segment unless you were looking to grow that somewhat significantly. So curious just what -- how we should think about the additional properties that you're working on for that segment?
Mike Huseby: I tried to address that in my speech but somewhat general -- I think we'll probably stay that way but would the I would say, the supplement -- what I said in the speech Alex is that; we're going to focus on growing the segment as rapidly as we can, that's both internally through the development activities that you're alluding to. And to answer that question; I think I said in the speech, we really began that in earnest in terms of the spend, more towards the back half -- fourth quarter of 2018 and we have a proprietary content that we're developing for digital offerings which is really what the increased CapEx are about that we alluded to -- and that Barry alluded to. So you can infer from that what we might be developing but we're not going to really talk about specific offerings to already -- to introduce them to the market because it doesn't make sense for us to do that from a competitive standpoint. And we don't want to front-run -- we're not in the -- our style is not to try to get too much speculation and hype out there, we want to make sure we're able to deliver what we're talking about, what we say we can do. So growing this is a high priority, that's why we created the segment; it is 1% of revenues but it's more like 9% of EBITDA, adjusted EBITDA. I think it's -- you saw the margin at 97%; so yes, we will try to grow it through acquisitions and create what we envision to be a student hub of services that we can offer. Student Brands being the first in that hub which will not only help direct-to-student but the way we package and price it should exploit the current platform we have in our core business as well.
Operator: Our next question comes from Greg Pendy with Sidoti.
Greg Pendy: Just a couple of quick questions, I guess. One, the rental segment was down again, I guess, for pretty high single-digits for the second quarter in a row. Is this the segment -- and I understand the ASP pressure out there but is this the segment that you know, is probably seeing a bigger impact from First Day?
Patrick Maloney: Yes, it's partially that, it's partially also the drop in the ASPs as it's getting closer to the rental price. It's also books that are being produced by various publishing houses that are very hard to rent at a deep discount because they are -- what we refer to as a consumable book; all that goes together towards the deceleration of the growth and -- but it's still a very, very healthy business for us. So it's not going away anytime soon.
Greg Pendy: And then, when you mentioned just -- I guess the competitive environment for renewals, is that sort of the bidding side of it or is it the outsourcing? Are you seeing less campuses looking to outsource in this -- in say the upcoming year or is it just kind of -- you're seeing more people bidding on the contracts?
Patrick Maloney: More people bidding, there are new players that have popped up, but also just more aggressive bidding is what we've been experiencing in this past year, it's happened before in cycles and we're reevaluating everything that we do to explain ourselves and to sell our business to various clients and present ourselves, we evaluate every one of our losses very carefully, and we're working on correcting this trend very seriously.
Greg Pendy: Can you kind of help me understand that -- and it's very helpful that you're breaking out the digital segment; but just that we kind of understand because it is direct-to-student, what type of synergies or cross-selling are you guys planning on or are you seeing anything -- given the fact that you have a digital offering but also manage college book stores directly which positions you guys rather unique with the digital offering. Can you just talk about the cross-selling efforts, if any?
Unidentified Company Representative: This is Lisa [ph]. We're going to be leveraging all of the Barnes Noble College and MBS properties to really accelerate the awareness and adoption of the direct-to-student services, so that's going to include everything from integration and to our e-commerce sites, positioning it as a recommended add-on when the student purchases a textbook or when they are going to purchase their text materials, as well as really driving the awareness and adoption in our stores. So when we have students back on campus and in our stores for fall rush and they are choosing their textbooks, we are going to be marketing these new services that are really meant to help drive student success.
Operator: [Operator Instructions]
Mike Huseby: Well, thank you so much for the support and joining the call and your great questions. We look forward to keeping you informed and giving you more details as we develop these new products and services. Take care.
Thomas Donohue: Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.